Operator: Welcome to the First Capital Realty Q4 and 2014 yearend results conference call. [Operator Instructions] I would now like to turn the conference over to Alex. Please proceed with your presentation.
Alex Correia: Thank you, Sarah. Please note that forward-looking statements may be made during today's call. Certain material assumptions were applied in providing these statements, many of which are beyond our control. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in these forward-looking statements. A summary of these underlying assumptions, risks and uncertainties is contained in our various Securities filings including our Management Discussion and Analysis for the year ended December 31, 2014, and our current AIF, which are available on SEDAR and our website. These statements are made as of today's date, and except as required by Securities Law, we undertake no obligation to publicly update or revise any such statements. I will now turn over the call to Dori.
Dori Segal: Thank you, Alex, and good afternoon, everyone. Welcome to our Q4 and yearend conference call. I'm going to keep my prepared remark in this call slightly shorter than usual. And the Q&A, you guys are all welcome to ask me whatever you want. This is my last conference call, both of what we have done right or we have done wrong over the last 15 years. And of course, other than that the call will be in the normal form that we usually take to review the results. So I am very pleased with 2014 results, which followed a strong 2013 and strong 2012 in precisely executing our strategy. For the quarter and for the year of 2014, on the positive side, capital recycling continues slightly ahead of forecast for the quarter and the year, including the Main and Main transaction and some disposition of smaller non-core assets. However important to operations, those small assets takes too much time for us and probably they do not belong in the new First Capital. Our total portfolio occupancy moved up 50 basis points in the year to 96%, a strong same property NOI, however in line with our expectations at 3.2%. Leasing spreads were not particularly strong, but in line with expectations. We experienced in the year record cash flow from operating activity, following of course previous records set in 2013. On the negative side, same property NOI and record cash flows did not translate into FFO growth due to the diluted nature of capital recycling activity and higher financing activity, which resulted among other things in higher cash balances for the year and for the quarter. As expected and mention in previous calls, lower growth in topline NOI run rate, again, mainly due to recycling of capital for our development activity and almost no IPP acquisitions. And last, we experienced a slow start in Place Viau coming online with higher construction cost than expected and leased rate, including timing of leasing that did not meet our underwriting. That being said, Phase 1 of the shopping center, which included two levels of retail and underground parking was under construction until the fourth quarter of 2014. And now once it's all completed, we think that with great visibility and great access, we will see leasing accelerate in the next few months. We believe we'll get a chance to catch up on the return on the total project in Phase 2 of Place Viau. I will hand over the call to Kay right now, and then I'll come back with my closing remark after.
Kay Brekken: Thank you, Dori. Good afternoon, everyone, and thank you for joining us on our conference call. During the past year, we continued to execute our strategy of recycling capital from non-core assets into repositioning and intensification of existing urban asset, while maintaining financial strength and flexibility to achieve the lowest cost of capital over the long-term. We invested a total of $523 million in the year, approximately half of this relates to development and redevelopment spends and $227 million relates to acquisitions. We funded 47% of this activity with $246 million of disposition, including the sale of a 46.9% interest in the real estate assets of Main and Main Development. Additionally, we issued a $146 million of equity, $510 million of unsecured debentures and secured $82 million of new mortgage financing, the proceeds of which were used to fund our investment activities and to redeem $225 million of unsecured debentures and to repay $208 million of mortgages. Moving to our property portfolio status, which is on Slide 8. At the end of the year, the value of the stable properties and the stable properties with expansion was $5.4 billion, representing 72% of the total value of the portfolio. These properties are 96.9% occupied and have a run rate NOI of $316 million, representing 76% of the total portfolio run rate NOI. During the year, we recycled capital of $246 million, including the Main and Main transaction and the disposition of non-core assets. At the end of the year, we had $205 million of income properties and development land parcels, classified as held for sale. Our current intention is to market and sell these properties in 2015, subject to market condition. Moving to Slide 9, NOI by property status. NOI increased 2.4% or $10 million, primarily due to the performance of our same property portfolio, as the year-over-year change in NOI related to acquisitions, dispositions and development coming online largely offset each other. Our same property portfolio generated NOI growth of 3.2%, primarily due to a 50 basis point improvement in occupancy in this portfolio over the prior year with occupancy moving up from 96.5% to 96.9%. Moving to Slide 10, on FFO. This growth in NOI let to a 2.7% or $6 million increase in core FFO over the prior-year period. The year-over-year variance and other gains, losses and expenses is detailed on Slide 11. Executive transition costs were $5.8 million in the quarter and $7.3 million for the full year. During the year we redeemed $225 million of Series F and Series G unsecured debentures at an effective rate of 5.84%. 2014 prepayment penalties totaled $4 million, with $2.4 million of this recognized in the fourth quarter. In the prior-year period, we had a $4.4 million of one-time gains, including the gain on the sale of our Fuzion condo project and a gain on the settlement of litigation. Slide 12 summarizes FFO results compared to the prior-year period. Slide 13 shows the comparative period roll forward from FFO to AFFO. Slide 14 shows the year and year-to-date other gains, losses and expenses in AFFO. In the prior-year period, we had $4.4 million in one-time gains, as previously mentioned. Slide 15 summarizes AFFO results compared to the prior-year period. Turning to our financing details. The information on our key financing activities for the year, which I've already touched on, can be found on Slide 16. Slide 17 summarizes our key financial ratio. Our unencumbered assets have grown to $5 billion and now comprise 63% of our total assets yet yearend. Our net debt to total assets improved by 70 basis points, since the start of the year to 42.2%. The weighted average term on our debt has increased to 5.9 years, while our weighted average interest rate declined 20 basis points. Subsequent to yearend, we issued an additional $90 million of Series F unsecured debenture, which was a reopening of this series. Additionally, we issued 4.4 million common shares at $19.80 per share for gross proceeds of $87 million. These financing were undertaken to continue to allow to comfortably fund our development program. On Slide 18, we have an update on the debt maturity chart, which reflects the impact of our financing activities net of cash through February 05, 2015. This concludes my comments on the financial results. As many of you know, I joined the company six months ago, and I wanted to take a moment to say a very special thank you to, Dori, the board, the executive team, and my entire team for their support in ensuring a smooth and successful transition. I will now turn the call back over to Dori.
Dori Segal: Thank you, Kay. And before I hand over the call to Adam, I would like to say a few final words, unless you ask me something later in the Q&A. So I took over as CEO of this company in August of 2000. The company had $700 million in assets compared to a little shy of $8 billion today. NOI run rate was $52 million, $460 million today. We grew from 6.2 million square feet to 24.5 million square feet. From 40 properties to 158, we were at 170-some two or three years ago, if you remember. We now have credit rating and we are in the best financial position we've ever been. In terms of our common share price it was $5.56 when I took over, of course, adjusted to the 2010 stock splits, its $18.66 to December 31, 2014. And our annual dividend grew from $0.58, again, adjusted for the 2010 stock splits to $0.85 in 2014, which is $0.86 on an annual basis. From a team member perspective, we had three people when I walked into the office. There were two people and myself, as we were externally managed when we took over this business. We have 425 team members across the country today. And the company, which had negative cash flow in 2000 and not significant operating cash flow. We finished 2014 with $269 million cash flow from operating activities. So while I feel very fortunate, I think there has always been some logic to the madness. Although, in the last decade we have seen a significant change in our business, I believe our strategy, as defined throughout the years, reflects the sharp focus we have always maintained in our business. We have created a strong and secured foundation for what I believe is a great business. As I handover the leadership of this company to Adam Paul, I would like to make a few observations. I think we're fortunate that the incoming CEO of this company has a great talent, motivation and experience, coming from a great Canadian RIET. And he is also at the point of his career, where he has so much more to give. In the months we've spent preparing for the transition, I'd like to share with you an anecdote, which I have heard from Adam that particularly impressed me. There are certain things that I have always considered to be problems or challenges for this company. Coming from the outside, Adam has told all of us that he considers each of this to be a great opportunity for First Capital more to come. In closing, I want to first thank my executive leadership team, Maryanne McDougald, Brian Kozak, Ralph Huizinga, Jodi Shpigel, Greg Menzies, Roger Chouinard and Kay Brekken. I also would like to thank all the First Capital team members for the hard work and dedication, helping us to get to where we are today. And particularly, thanks to Alex, who has been with us from day one. She was one in the group of three. This is an amazing and unique group of people. I would also like to specially thank our former executives Sylvie LaChance and Karen Weaver, who were with me in the early days and contributed so much. I also want to express my sincere appreciation to our tenants, our service providers, our business partners and our investors for their continued trust and support. I will thank the analyst community later when they properly value the company. Last but not least -- I wasn't serious, guys. Last but not least, my gratitude to our Board of Directors under the leadership of our Chairman, Chaim Katzman, for sharing and supporting our vision and for their counsel and guidance. I, my friends, really love and simply love this company. I think it's a great one. And now, I will hand over the company and the call to Adam, and wish everybody here all the best. Thank you.
Adam Paul: Thank you very much, Dori, and good morning everyone. So this is now my second week at First Capital, and I could tell you, I've made some progress, I can actually make it to my office now without getting lost, which I couldn't say at the beginning of last week. But on a serious note, I'm delighted to be here. Having been in the real estate business for sometime and given how relatively small the industry is in Canada, I was somewhat familiar with First Capital. So an outsider, I had several observations. One, was the quality of the portfolio. This company owns a collection retail asset that's virtually irreplaceable in today's world. Then there is the internal platform that has an exceptional capability with respect to operations and development and what it can actually do with real estate assets. While, it hasn't been very long, my transition is definitely underway and there are handful of things that I can tell you thus far have given me a lot of comfort. First are the people, its clear there are a lot of talented and confident professionals in this organization, and that starts with senior executive leadership team. Second, the Board of Directors, over the last little while, I've had a chance to get to know the members of the Board. So I know and knew they are very knowledgeable and very experienced, but what I didn't realize to its full capacity is how supportive they are, not only to me, but to the entire senior executive team. And Dori, if I could write the script, Dori could not be more supportive of this transition. So thank you, Dori, and congratulations once again on your remarkable success with First Capital. So to summarize for my perspective, this company is very well-positioned with strong people, well-performing assets and a supportive outgoing CEO, who will remain with the company as the Executive Vice Chairman of the Board. So that provides me with the opportunity for an orderly and thorough transition that should serve us well both in the short and the long-term. I look forward to updating you further at the Q1 conference call in May. And we will now open the call up for questions. Thank you very much. So Sarah, if you can open up the call, please?
Operator: [Operator Instructions] The first question is from Sam Damiani from TD Securities.
Sam Damiani: So Adam coming in to the company, we've seen today, guidance not being provided at this point. I'm sure that's going to come, but what do you see is one or two of the sort of main opportunities you seek to do perhaps a little bit different going forward?
Adam Paul: So Sam, to start with your guidance question. So as you know, I started last week, so obviously I haven't had the time to intimately understand the systems, the reporting, accounting, et cetera. And so I just simply didn't want to put numbers out that I didn't fully understand. And just for clarity that should absolutely not be taken as a pessimistic or an optimistic view in terms of how I see things, it's simply realistic, given that I just joined a few days ago. In terms of what can be done differently. Again, this company from my perspective is in a very solid position, and so it affords me the opportunity to take my take to really understand the company in detail. And then that's the point where I think it's fair to identify what those opportunities are specifically.
Sam Damiani: And so do you see proving guidance on the Q1 call?
Adam Paul: To be honest, Sam, I haven't thought that far ahead. So again, this is a big company. My initial plan was and remains to spend my initial time, almost entirely with the people on the assets of the company, and so that's what I've been doing. Obviously, we had to address whether we issued guidance yesterday. And I haven't though beyond that point, we will evaluate it, if there is a benefit to issuing guidance in Q1 or at some other point in time, then 100% we will do that.
Sam Damiani: And just on the leasing outlook, we have seen the oil price collapse basically in the last several months. Just from your team out west, what is kind of the real time take on what's changed in terms of leasing out in Calgary, Edmonton and what not.
Adam Paul: So fortunately, Brian, who runs the western region is on the call, and he'd be best suited to answer that question. So Brian?
Brian Kozak: I think at this stage at the game, there's really been nothing in the way that fall out or even diminished activities as far as lease is concerned. I am not sure, frankly, when that's going to come up, maybe six months, maybe more if it continues. We may see something down, but for the most part, as you are aware our assets are defensive in nature, our tenants, our everyday needs. Frankly, I don't expect we're going to see big change.
Sam Damiani: Is there any thought to maybe postponing some of the redevelopment activity in that area of the country, as we just wait to see the fall-out, as you say
Brian Kozak: I don't think so. I mean I think the opportunity is just probably for some cost savings, for the most parts in terms of the construction. Most of the stuff that we have underway is for delivery from let's say, one to two years out, which is going to be a different situation at that point. And in further, most of the developments activity we have, we have all of our anchored signed and secured.
Operator: The next question is from Alex Avery from CIBC.
Alex Avery: Congratulations, Dori and Adam. It's certainly been a tremendous run, Dori, and I think investors and analysts will miss your presence on these conference calls and even your sense of humor. Just wanted to dig into the Yorkville village a little bit. You're under construction there, or I guess, under redevelopment. Can you just layout for us where you expect the major milestones to come over the next several years?
Adam Paul: So Jodi, who run Central Canada is with us and is best suited to answer that question, Alex.
Jodi Shpigel: To answer your question regarding Yorkville, so it's a complex construction project. The primary focus for us during the year at 2014 was all on scheduling and timing of construction, and now we are confident that the first phase of the mall, which is the generally the south-end will be complete during the fourth quarter of this year and now that we have more certainty on the construction timeline, we're focusing on leasing. And the balance of the construction will be commencing in 2016 with an ultimate completion in 2017.
Alex Avery: And the 2016, 2017 will include the integration with all the new, I guess, adjacent properties and entrances?
Jodi Shpigel: Yes, that is correct.
Alex Avery: Then just moving on to land holdings. You reduced land holdings this year through a combination of sales and reclassifications. It's a pretty significant decline from the beginning of 2014. Given your strategy around controlling local markets, can you, I guess provide a bit more color on what led to dispositions and whether this is a trend that we should expect to continue or just sort of circumstance and confluence of events?
Dori Segal: So let me start with the easy answer, it's not circumstance. Its absolutely every asset in the company has undergone, I will say a further review given our view on retail competitiveness and demographics over the last five year. And I will say that some of the decisions we made in this last five years, Alex, were in even in hindsight pretty timely. So I will just refer two lane holdings. One is on the very far north of Brampton. When we looked at our development program, we feel that land is probably be better owned by regional or local developer, whose probably do a better job than us, and our capital is better served in the core assets. There is another piece of land by the [ph] 407 that was sold. Some of the land sales are including in the Main & Main transaction. I would say that if you look at the last three years, and there are very detailed disclosure about it in the MD&A. You definitely see us owning going forward fewer and bigger assets, so I wouldn't read anything to it, except the fact that we are trying our best to react to what has transpired in Canada in the last five years, and according to over view over the next five years. I want to add one last more comment sort of echoing what Brian said. We've always said that one of the things we like about our development program is that when you invest in the assets we own, whether it's across the streets or adding tenants or adding density, you are basically making those assets more competitive. And the reason why we like the nature of this development program is because if you're expecting a recession or prosperity, having your asset more competitive serves you better in both cases. And given the fact that that might be a surprise to you guys, but we cannot really forecast, whether we're heading towards recession or prosperity, because a lot of it depends on macroeconomics like oil prices, unemployment, the Canadian dollar. We are trying to build a business, or that was the goal, that would be less sensitive to economic cycles. So again without trying to undermine the changes that our economy is going through, I feel that we were much more concerned and reactive to the changes in retail, in particularly than the macroeconomic changes. And I've always said, there's two reasons why I didn't think interest rate was going up. First, First Capital is fully hedged. Interest rate does not go up, when we're fully hedged. And second, interest rate going up in my view at least means that we would see a better economic activity like in the states, for instance, or better energy prices or better macroeconomic terms for Canada, which has huge positive effect on the lease up of our development program. So in away those two factors will fit each other. You're going to see a slower economy, I think see somewhat lower interest rates. The economy someday is going to get better, because probably oil gets an improvement in price and energy and so forth. Then you're probably going to see interest rates going up. And our job is to make sure the business can handle both scenarios.
Operator: The next question is from Matt Kornack from National Bank Financial.
Matt Kornack: Just quickly, in terms of financing growth going forward. I know today, you've done quite a bit of capital recycling. Do you see that as the means to ultimately finance the development growth going forward or will you use the combo of that equity and maybe even draw on your credit facility?
Adam Paul: Right now, the company is in a position where there is a lot of financial flexibility. And so what I'll do over the next short period of time is have an opportunity to understand the company in more detail to be able to answer that question. And given the state of the company today, I'm very comfortable. We have adequate liquidity to fund certainly the short-term needs, but also long-term needs. How we do that is something that will figure out in the next little while in terms of which direction.
Matt Kornack: And a little bit more detailed question. In terms of the lease renewal spreads, I know they were a bit lighter. Was that just asset specific or is there something more macro to that?
Dori Segal: There was higher anchor deals done in the last end of 2014 that impacted that number. I've always said, this number should really be looked at. On an annual basis, we have usually maintained the double digit renewal rate. I would say that in the last six months, the bias was towards occupancy than driving rates. I hope there is not a lot of tenants' listening to me, right now. But the bias could change as it relates to different properties or different economic change. But I think, again in line with our long-term averages of the 9.6.
Matt Kornack: And on VO, you mentioned the lease up. What remains to be leased there at this point?
Adam Paul: So Greg who runs Eastern Canada is also with us and he's the most familiar with that project. So Greg?
Gregory Menzies: So we have 221,000 feet of which just 47,000 feet left for lease. We have just opened a new gym and Dollarama store before Christmas. And we are working with a series of other tenants at this point in time and all the usual categories, furniture, home, fashions, hair salons, quick-service restaurants, coffee shops and a couple of banks. So we feel that with the completion of the construction in Q4 and the new access ramps that were created from the ground to second floor were in a very good position to finalize those leases shortly.
Matt Kornack: And Greg, how big is Phase 2 the project?
Gregory Menzies: There is a couple of iterations of it, but we can accommodate anything up to 1000,000 foot store. And as I said, there is a few variations of the plan. We are working with a couple of large tenants. The city is also interested in seeing us add some density, so there is some residential potential depending on what we do on the ground floor obviously, that upstairs plan will follow.
Operator: The next question is from Michael Smith from RBC Capital Markets.
Michael Smith: Your comments, Dori, at the beginning, I do agree that you've built a great company, but I'd be curious to know the one or two things that you did wrong looking back?
Dori Segal: Since you're asking me the question, I'll remind you the discussion that we had a few years ago, Michael, we were traveling I think on trip out west and you asked me, what's the rush into urban and high quality, what's wrong with higher returns in other markets like Suburbia. And I said, well, there is nothing wrong with it and we are in Suburbia, and then we had a discussion what's wrong with even going further for a higher return. And I think what I said to you was --
Michael Smith: Actually, I don't think that was me.
Dori Segal: It was actually you, and now when I'll remind you my answer, you will remember the discussion. And then I said to you, I said one of the things that people don't realize is that when you have a platform and a lot of team member, and people across the country running real estate, they get up in the morning with a much better smile, when it's a higher quality portfolio. And in my view, long term the business is much more productive from a human capital perspective. And of course, there are exceptions. I mean, great managements could also be the sponsor. I mean, look at SmartCentre and Retrocom. It's a successful secondary and tertiary market with management otherwise it couldn't afford. So again, there is always exception to the rules. I don't want to sound like I am a preaching to one strategy, but I think there is two things that I wouldn't call it done wrong, but I'd say, you could probably do a better job or you could do it slightly different, and I'll tell you what they are. So there is two fundamental parts of our strategy over the last 15 years and then you'll understand the start up with people. One was the adjacent site strategy. We were enormously aggressive, and I will say too, at times with disregards to return on our adjacent site strategy. And let me explain why and we could have probably been slower and executed it or maybe more picky, or maybe we didn't have to really own every corner we own today around our shopping centers. But one of the things that evolved over the last 15 years as we were building a portfolio, we all hear, the whole execute team was absolutely in agreement that we have to build size in order to run a national platform. And when you look at choices CT, Crombie, RioCan, Calloway, our competitors, we understand today that we made the right decision, which is you have to have sites when you're in this business. But what we didn't have 10 or 15 years ago, we didn't have the strength of the people in the platform and the size and the strength of the business as we have today. Part of our view, which I led, and I was strong believer in it, that we got to protect our back and the way to protect your back when you grow a business is owning a lot in the known. And the reason why is if you take Shoppers, for example, the way we became Shoppers largest landlord is because when they decided to go to end caps and free-standing, and we owned the property across the street, we ended up keeping them as a tenant. While if somebody else, more lean, a quick regional developer, private developer would have owned that corner, we would have the lost the Shoppers. Same goes with banks. Banks continue to surprise me. I mean, one of the largest asset that we have in our portfolio is 9% of our income from financial institutions, again all retail, no office. Their desire to be in amazing location with great visibility and access and drive through, when possible, is definitely one of the reasons that we have so many banks and we are some of the banks' largest landlord, that would have not been possible without the adjacent sites or kitty corner sites or street site strategy. So that strategy defeated a $2 billion company and a $4 billion company in a very aggressive way. I think we have a lot of strength in the business today in the platform that we could probably afford to be a lot more prudent and a lot more return driven in continuing the strategy. So I probably could have done a better job on that. The other thing is, if I look at our unsecured strategy. The unsecured strategy was extremely aggressively executed. It came from two reasons. One, probably my U.S. background, I strongly believe that unencumbered assets is the number one flexibility of a real estate company to have a long-term financing to its business. And I didn't see a way of doing it halfway, somebody could ask the question and we've asked ourselves often, are we too aggressive in doing it, maybe we should have moved on that strategy slightly slower and do use a lot more mortgage in the last 10 years. What I can say is that in my view in the business that we're in, which is creating great real estate, I think you need enormous financial flexibility. And any time a company doesn't have enormous financial flexibility, we saw it in the GGP case, we've seen it in other cases in North America; I don't have to mention name, any kind of company who was growing or did a lot of development, did not having enormous financial flexibility and a lot of liquidity, when things like '08 and '09 come, you might experience a stress that you don't want to experience. So have we bought excess amount of insurance over the last 10 years growing the business that's possible, I'm not going to argue that. However, you have a Chairman of this company and now the Executive Vice Chairman of this company, who I would say, do not look at risk maybe the same way as others, we would not ever put a business into a position when it's forced to raise money or things like this. And that has a cost. You could probably see a situation where the company is more mature and has less development on proportionate level, and trade in the higher multiple and has better credit rating, where you wouldn't need to buy that much insurance as we have done in the last 10 years. So I gave the two things, I think I could have done differently, but I also gave you explanation of why I may have overextended on those. I am trying to think what else I don't like about what I've done, just probably a few things maybe in a smaller scale. But generally speaking, building a business, when you build a large building and you want to withstand a storm, you can't reinforce a building to withstand against the storm or a gym on the second floor, for that matter, with only looking at return. There's some objective that you have to keep, and I think that's what we have done.
Michael Smith: Just you did refer to the new First Capital Realty. I wonder, how does Main & Main fit? Any change in thinking there?
Dori Segal: I think it was more a figure of speech. Maybe it was a wrong use of words. I think what I meant for me is it's definitely a new phase in the company's change of guard. I think that was the nature of the comment. I don't think there was anything else, but I think you'll get a chance to ask that question probably next quarter, actually in the next few quarters and get a better answer.
Michael Smith: And just last question for your Yorkville Village, are you seeing any changes in your expectation for lease rates?
Kay Brekken: At this point, no. We're getting the lease rates that we expect to get. And as I mentioned, we're really starting to gear up on the leasing. Now hat we have certainty on some timing for construction, but the leases that we've been working on have been meeting our expectations.
Operator: The next question is from Heather Kirk from BMO.
Heather Kirk: Congratulations, Dori and your team, everything that you built up and good luck Adam with taking it forward over the next 15 years. I guess question is for Adam in a way of follow-on to Michael's question. As you look out and you were only in the seat for a short period of time, Dori talked about building the portfolio up to withstand the storm and maybe being less focused on returns. As you look forward, what is it that you would see that you might be doing somewhat differently or there are certain things in terms of the unsecured debentures and some of the cash balances? Should we expect some of that to shift over time and there to be a more focus on FFO growth over development and sort of buttressing the portfolio?
Adam Paul: Heather, again, please be a little patient with me given I am only a few days into the company, but to touch on some of the things that you mentioned, obviously FFO growth is an important thing for First Capital. And I think that some of the things Dori touched on that was an impediment to the degree of growth. It will serve the company, while going forward. So I would say that. Obviously, things like sitting on cash, which he touched on is something that I would not expect to occur the way it has in the past. But again, I really need a little bit of a time to get into the business and all aspects of it and to understand it holistically to give you any more detail than at this stage.
Operator: The next question is from Sam Damiani from TD Securities.
Sam Damiani: Just a couple of quick follow-ups. And Adam, I think I probably know the answer here, but one of the things that CREIT did very differently was its approach to debt, secured verses unsecured. Is there a preference in your mind, at least to sort of revisit that decision that's been made so far at First Capital?
Adam Paul: Obviously, CREIT did it very differently, but I will also say that there are enough differences between the two businesses, like there is no right or wrong answer for what's been done in the past. I think when a new CEO comes into a company through an orderly transition process like we have here, it's a great opportunity to review a lot of things. And given the solid position and the positive circumstances that surround this transition, I plan to do that. Obviously, I've got a lot of experience at CREIT and CREIT has had a lot of success and with the Board and myself are hopeful of that some of that experience will benefit First Capital. How exactly at this stage? I can't tell you with certainty.
Sam Damiani: Just quickly on Yorkville and then Place Viau. Yorkville, is there a good amount of leasing that's been achieved to date? Is there any sort of quantification you can give us at this point, Jodi?
Jodi Shpigel: So at this point, the majority of the center is leased. There is a number of existing tenants of course. And so as the weeks and month go on, obviously, the percentage is increasing, but it's definitely in the majority side at this point, leading up to our first days that we're opening later this year.
Sam Damiani: Can you quantify a number of square feet that will open in the latter part of this year?
Jodi Shpigel: At this point, there is a lot of discussions going back and forth, and so I don't want to give any more specifics than I have, just because there's a lot of negotiations taking place right now.
Sam Damiani: And then just I think on the quarter, the average rent per foot leased at one point I saw was about $9. I'm sure maybe that was the gym, I'm not sure. But if you could just put some color onto that as to why that was such a different number?
Dori Segal: I believe, Sam, that number is largely impacted by a few tenants among them the gym and in Viau, absolutely.
Operator: Next question is from Pammi Bir from Scotiabank.
Pammi Bir: I realize you're probably, as you mentioned, you're not prepared to provide guidance, but looking at some of the components that you've typically discussed in the past. Do you have a sense of development completions this year? And how much NOI you think will come offline for redevelopments?
Dori Segal: Can you just repeat the question Pammi?
Pammi Bir: Sure. Just in terms of, I guess, the 2015 planned development completions, what's in the pipe, as it stands today? Do you have a sense of how much will come online this year, either from a square footage or I guess transfers to investment properties from developments? And then, secondly, how much NOI you estimate could be coming offline for redevelopments?
Dori Segal: So let's try to cut and paste this. Rent coming offline for first redevelopment is I don't think going to be of consequence. There is not a lot of starts or redevelopment programs, which when you see rent coming offline is typical to a start. We are definitely far off from starting Yorkville. We are far off from starting Mont Royal. Maybe some insignificant rents coming offline in Semiahmoo, given the fact that we are going to proceed with the redevelopment in 2015. I don't see any --
Brian Kozak: DMR is all started.
Dori Segal: DMR is all started, yes. And again, remember, we talked about Humbertown. The nice thing about Humbertown is that the jumpstart of that development is entirely up to us. I mean subject of course to getting some timing adjusted to tenants' needs. We can start it in 2016; we can start it in 2017. Even 3080 Yonge, which we expect to start in the second quarter is pretty much done with most of the rent movements in the properties. So that number does not much. As we have said, the first half of this year -- the first three quarter of 2015, you're not going to see lot of development coming online, and then starting the fourth quarter of 2015, you're going to start seeing Yorkville coming online, DMR, we have some plus signs. So it's starting in the fourth quarter of 2015, and then basically every quarter for a period of 18 months, you're going to see -- if I can just go back to the numbers first. Again, Pammi, if you remember in 2012, we delivered in excess of 800,000 square feet. We said that was an exceptionally unusual year for us. In 2013, we delivered above 400,000 square feet, which was more in line with our sort of something like 300,000 square feet, 400,000 square feet that we hope to deliver every year. This year was slightly light. So is the first three quarters of '15. And then after that we are going to more at the same pace. So not enormous amount of movement in the first half of 2015.
Pammi Bir: And then, we've talked, I guess, in the past calls and just in discussions overall, about the company's capability to deliver that range of 4% to 5% of growth. And again, not getting into guidance, but based on the comments you just made, is that an unrealistic expectation for this year?
Adam Paul: Sounds like guidance, Pammi. Look, I can't answer that question today. I don't know if you'd like to say Dori.
Dori Segal: Let me put it this way, Pammi. You know our growth in the last three years. I don't see anything in 2015 at all, nothing, that leads me to believe that this company is going to function anything different than '12, '13 and '14, unless Adam comes in with some positive initiative that none of us can expect. I don't think in this business it's realistic to assume that three or six months make a huge difference. It's a long-term business -- I've heard some comments from somebody I hold in high regards from a U.S. REIT that you all know that in his last conference call mentioned the fact that his company invested enormous amount of money in the last few years in R&D. And R&D to him was people, development, planning and processes. I wish I had thought about this way to say it and take credit for it. I didn't. But I think if you look at First Capital in the last five years, we've invested a lot of money in making this business to a position where for the lack of better word, you can finally hand it to a competency to run this company. I'm just trying to live up to Alex's expectation. She said I had sense of humor. So I'm trying to be. But on a serious note, there isn't anything. I think we are all excited from the change in regard and I think you have to remember, Adam, walks into a company that is not a small company. It's a big company. It operates on a national basis. And I think he has taken the view that you have to be extremely cautious with everything that you say, including say on his behalf, because he is there to be responsible for the next few years. So I think we have to give him some respect. The board and myself are fully in line with the fact that there might be change in the way we look at certain things. There might be a change in style. There is a new CEO in this company, and whatever he decides to go with, we are fully supportive of, including taking a fresh look at everything that you do. And I think I can definitely understand it would be a bit inconsistent with taking a fresh look at everything that we do in the first year of office and giving guidance at the same time. I could see why those things don't exactly going hand-in-hand. So I think I'm going to reiterate what Adam says. Let's give the new leadership in this company a bit of time, and take it in the next few quarters as the business progress. One comment that Adam made that he thinks that maybe there is some room for improvement in the disclosure on development, given where he comes from. When he pointed a few things to me, I actually agree with him. So you might see a few changes, just Adam a few months.
Operator: There are no further questions registered at this time. I would now like to turn the meeting back over to you, Mr. Paul Adam. End of Q&A
Adam Paul: Other way around, but that's fine. I answer to both. That concludes our Q4 and yearend 2014 conference call. Thank you very much for joining us. We look forward to speaking with you again in May, for our Q1 2015 call. Have a great day. Bye bye.
Operator: Ladies and gentlemen, that concludes today's conference call. We thank you for your participants, and ask that you now disconnect your lines.